Operator: Good afternoon, ladies and gentlemen, thank you for standing by. Welcome to the Q1 FY 2010 Earnings Conference Call. During today’s presentation all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator instructions) I would now like to turn the conference over to Mike Bishop. Please go ahead, sir.
Mike Bishop: Thank you. Good afternoon, everyone, and thank you for joining us today to discuss the results of Openwave Systems first quarter of fiscal year 2010. Joining me today from Redwood City are Ken Denman, Chief Executive Officer, and Karen Willem, Chief Financial Officer. Before we discuss the results of the quarter, I want to remind everyone that we are operating under the rules of regulation FD. Our first quarter financials results press release was distributed at the close of market today, and if you’ve not yet seen a copy, you can find one at our website at openwave.com. For your convenience, this call is being recorded and will be available for playback from our website for three months. Before we begin, I’d like to remind you that any remarks that may be made on this call or in our earnings press release about future expectations, plans or prospects for the company may constitute forward-looking statements for the purposes of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The actual results may differ materially from those indicated by the forward-looking statements as a result of various important factors. These factors include the specific risk factors discussed in the company’s press release that was distributed today, and in the company’s filings with the SEC, including but not limited to fiscal 2009 financial results on Form 10-K and any other reports subsequently filed with the SEC. We intend to make several forward-looking statements during the call that are based on management’s current outlook as of today. We do not intend to update these business outlook statements until the release of Openwave’s next quarterly earnings, and disclaim any obligation to do so prior to that time. However, we reserve the right to update the outlook for any reason during the quarter. And with that, I’d like to turn the call to Ken.
Ken Denman: Thanks, Mike, and good afternoon everyone. Openwave made significant progress on several fronts in the first quarter. First, bookings were $47.3 million in the first quarter, a substantial 61% improvement compared with Q1 of last year. This is particularly notable because the first quarter tends to be a seasonally weaker quarter for bookings. Revenue also improved this quarter to $49.8 million. We would have had an above one-to-one book to bill ratio had revenue not improved so much. We're happy with our performance that led to these two strong numbers. Our goal is to return Openwave to being a growth company and that starts with strong bookings. It was a good start to fiscal 2010. Our revenue mix this quarter produced gross margins of 55.4%. As we said in the past, our current revenue is the product of deals were booked in prior quarters. This is true of gross margins as well and the impact was also felt on the EPS line. The good news is that we expect the company's gross margin to rebound as the backlog margin profile is more robust. We continue to aim for a long-term gross margin in the 60% to 63% range. As I said, we aim to be a growth company, and one of the prerequisites for improved bookings is a robust sales pipeline. Since last year, we have dramatically improved the pipeline in both size and quality. This is driven by two factors. The first is that our sales team has done a lot of work to identify and actively target new potential customers and continue to develop and grow existing relationships. The second is that the industry trends are also helping to drive our pipeline. The long promised data tsunamis are arriving and carriers are looking for our solutions. We continue to see surging demand for mobile data services driven by the mass-market introductions of smarter devices and looming on the horizon uptake of connected non-phone devices such as netbooks, PC dongles, GPS devices and e-books. As evidence, Sony has publicly stated that they expect 90% of all their consumer devices to be connected to the Internet by 2011. The increasing demand is beginning to impact existing networks. In the last few months, we have seen public acknowledgment of a bandwidth capacity crunch from some of our largest operating customers, including AT&T, as many are beginning to realize that the problems of today will not be solved fast enough with the planned migration to next-generation networks. Within a 4G network, which will be entirely Internet protocol or IP-based, software solutions like Openwave's will be even more important to dynamically support the monitoring and management of all types of data, including all forms of messaging, Internet and video traffic. You may have noticed in our financial tables this quarter that we are now calling our service management product line service mediation, which we feel is a more accurate reflection of our solutions value and where we see the industry evolving. I believe that our strength comes from our role as a proactive service mediator achieved through a combination of predicted analytics and the intelligent management of traffic with dynamic policy and optimization to real-time charging capabilities. In a world of packets rather than circuits, our software is designed to help operators proactively identify and solve bandwidth and capacity issues long before a problem surfaces. Openwave's strength comes from our experience in building solutions that intelligently apply value-added services directly in the data path in real time. We're solving the immediate bandwidth challenge with our software and our proactive mediation role will only become more important as the ecosystem grows more complex and the mobile Internet becomes simply the Internet. We continue to witness strong demand for Integra Mobile Internet Platform, which is designed to monitor, manage and monetize data traffic. During the quarter, we closed an Integra deal with a major North American carrier to enhance their management of mobile Internet traffic. In addition to the Integra platform, this customer also purchased our service enablers, Analytics, Accelerators, Guardian, Passport and OpenWeb. We also closed another Integra deal there with a North American carrier which is replacing its Openwave mobile access gateways with Integra to better manage its mobile Internet traffic. This quarter we closed a deal with a leading service provider in Malaysia that selected our total traffic management solution for web compression, flash and video optimization and operational platform management. The solution is supported by our mobile analytics solution for real-time reporting and monitoring of data traffic. These products are designed to help enable the service providers to proactively manage all forms of data traffic on its network, including video, which some analysts are predicting will account for 75% of mobile traffic globally by 2012. This was a highly competitive and strategic win for Openwave and I look forward to announcing more wins in this area as we help solve a significant pain point for our customers. I'm also proud to report that Frost & Sullivan, an industry analyst firm recognized our accelerated product offering with the 2009 award for technology innovation in a North American mobile data services market. Accelerator is core to our total traffic management solution allowing an operator to predictably increase data transfer rates over wireless data network while decreasing bandwidth consumption, central to resolving the operator issues that come with unpredictable often viral and off-deck data demand. These two factors give the user faster browsing speeds and more immediate access to content. In our messaging line of business, operators continue to demand our carrier grade infrastructure offering and our front end communication dashboard. This quarter we signed a deal with Kansai Multimedia Services, the cable Internet access provider for J-Com, the largest multisystem operator in Japan. This is a new customer for Openwave. Kansai purchased a messaging bundle that includes our rich mail dashboard and Email Mx platform. On the channel side of our business, we and Synverse Technologies closed a deal in Q1 with SmarTone Vodafone, a leader in total commutations in Hong Kong for Openwave voice and video messaging. Messaging traffic growth may be the single most difficult factor to navigate in the data tsunami due to its inherent characteristics and user expectations for infinite storage and high performance. Our robust carrier grade messaging solutions are proving valuable to operators looking for low-cost, near limitless intelligent storage options. As we discussed previously and disclosed in a form 8-K filed with the Securities and Exchange Commission, we are continuing to consolidate our engineering sites and offshore development centers. The reason for this consolidation is to drive greater operational efficiencies, reduce costs, and have greater oversight and collaboration in the development and R&D process. We're closing our Broomfield Colorado office and consolidating to two engineering hubs, Belfast, Northern Ireland site and our headquarters in Redwood City. These are in addition to our offshore development centers in India. As many of you know, our Broomfield office primarily focused on location product development. We will continue to deliver on the location release as we have committed to our valued location customers. I would like to reiterate that location enabling our portfolio is still key to our strategy and our location assets remain critical. Our next generation platforms will incorporate location data from a variety of sources including Openwave. I would also like to highlight a strong addition to our executive staff. Heikki Mäkijärvi has been named Vice President of Business Development. Heikki brings more than 25 years of experience in the telecommunication and networking industry with key companies including Nokia, Cisco, and Accel Partners. Heikki will be responsible for creating new opportunities to leverage our platforms and tools, evaluating and managing strategic business opportunities, partnerships and alliances, particularly as we look to participate and bring value in the larger Internet ecosystem. Q1 was a great start to the year and I am pleased with Openwave's performance. The margin should improve next quarter and we have products that operators are reaching towards. We still have work to do. We know we need to improve execution in Europe to drive more bookings and revenues from bad geography. I've made it a priority to deepen my engagement with senior executives at the top European operators to bolster our customer relationships in the region. I believe that we have the right business fundamentals in place. We continue to attract top talent into the business, act on measures to drive operational efficiency, and even in an uncertain economic climate, we are securing new wins for our next generation of products. We have a unique and well defined market opportunity to help our customers navigate an increasingly complex ecosystem of rich content and powerful devices discerning subscribers and inevitable network upgrades. Openwave's proactive service mediation, messaging and contextually aware solutions are the key to our future and we will continue to work hard to find and capture this opportunity. The December quarter is usually an exciting one and we're aiming high. Now I would like to turn the call over to Karen to provide more details on our financial results.
Karen Willem: Thank you, Ken. Good afternoon everyone. Before I begin discussing the numbers, I would like to note that unless otherwise indicated, gross margin expense and earnings related items are reported on a non-GAAP basis, which excludes stock-based compensation, impairments on investments and goodwill, amortization of intangibles and other acquisition related costs, restructuring expenses, and professional expenses related to unusual events. Please access our financial metrics summary which is available on the investor section at www.openwave.com, to review Openwave's historical financial performance, as well as reconciliations of the non-GAAP measures we report to the corresponding GAAP measures. We view Openwave's first quarter of fiscal 2010 as another sequential improvement, a trend that started three quarters ago. The highlight of the financials are significantly improved bookings number relative to Q1 of last year, revenue stability, and a bottom line with this in line with our expectations. I will now go over the details of the numbers. Overall for the quarter ended September 30, 2009, Openwave posted a GAAP net income of $990,000 or $0.01 per share. On a non-GAAP basis, net loss was $380,000 with earnings per share of breakeven. Reconciliations from non-GAAP to non-GAAP income or loss can be found in our press release. Revenue for the quarter was $49.8 million, an increase of $1.9 million or 4% quarter over quarter and a decrease of $1.2 million or 2.4% year-over-year. The quarter over quarter increase was primarily due to services revenue. The year-over-year decrease was primarily attributable to lower bookings in fiscal year 2009. License revenue was $10.4 million, down $2.7 million or 20.4% sequentially, which comprised 20.9% of total revenue. The year-over-year decrease was $3.9 million or 27.2%, from $14.3 million in the prior year. As we said in the past, revenue is variable from quarter to quarter, and this quarter's decrease was due to the normal fluctuations. Maintenance and support revenue was $15.8 million, down $426,000 or 2.6% sequentially, and comprised 31.7% of total revenues. The year-over-year decrease was $580,000 or 3.5%, services revenue was $23.6 million, up $5 million or 26.8% sequentially, which comprised 47.4% of total revenue. The key driver for the increases in services revenue is primarily due to the triggering of revenue from two North America services project. The regional breakdown in revenue in the September quarter shows 65% of our revenues originated from customers based in the Americas, 14% from EMEA, and 21% from Asia. This compares to last quarter's breakdown of 69%, 12% and 19% for the Americas, EMEA and Asia respectively. And last year's September quarter breakdown of 63%, 13% and 24%. For fiscal quarter one, Sprint accounted for 40% of revenue and AT&T accounted for 10% of revenue. No other customer represented greater than 10% of our revenue for the quarter. Turning now to our gross margin, we reported 55.4% blended gross margin for the quarter, a decrease of 6.6 points compared to last quarter, and 6.1 points lower than the same period last year. The reduction in gross margin quarter over quarter and year-over-year was due to proportionally lower license revenue and higher services revenue. Gross margin on license revenue increased 0.3 points to 97.8% compared to 97.5% for the June quarter, and increased 5.8 points compared to 91.9% for the same period last year. The year-over-year increase in license gross margin is attributed to hire third-party royalties as part of large Asian messaging deal in fiscal quarter one of the prior year. The maintenance and support gross margins of 72.9% decreased 2.2 points from 75.1% last quarter and decreased 1.6 points compared to 74.5% for last year's September quarter. The quarter over quarter decreased was primarily due to an increase in headcount and labor costs. Services margin of 25.1% decreased 0.7 points from 25.8% last quarter and decreased 4.7 points from 29.8% last year. The quarter over quarter and year-over-year decreases are primarily due to higher third-party costs. As for operating expenses for fiscal quarter one, research and development expense is $9.8 million. Expenses decreased $1.1 million or 10.2% quarter over quarter and $2.1 million or 18% year-over-year, primarily as a result of our Broomfield site closure. Fiscal quarter one is the first quarter where we have seen the benefit of lower average headcount and lower labor costs and facilities expenses. For fiscal quarter one, sales and marketing expenses were $10.6 million decreased $1 million or 9.3% from $11.6 million in the prior quarter, and decreased by $47,000 or 0.4% from $10.6 million in the first quarter last year. Quarter over quarter expense decreased was primarily driven by higher commissions in fiscal quarter four. We also incurred an expense for commission arrangement related to one of our EMEA customers in the prior quarter. Fiscal quarter one general and administrative expenses up $7.4 million increased by $988,000 or 15.4% from $6.4 million in the prior quarter and decreased year-over-year by $873,000 or 10.6% from $8.3 million in the prior year. Quarter over quarter expense increased due to the year-end audit and legal fees. Year-over-year decreases were primarily attributable to lower facilities costs and labor costs due to our fiscal quarter restructuring. Our headcount increased by 18 employees from 590 at the end of June to 608 at the end of September. The primary driver for this increase relates to our fiscal quarter three restructuring followed by increased hiring as we consolidated our development centers. On a GAAP basis, stock-based compensation expense for fiscal quarter one was $547,000, compared to $550,000 in the prior quarter, and $971,000 in the same period prior year. The year-over-year decrease was due to the decline in the fair value of options granted and reduction in the number of options vesting. Again on a GAAP basis, in the September quarter, interest and other income was a charge of $1.2 million as compared to a charge of $172,000 and a charge of $6.5 million in the June 2009 and September 2008 quarters respectively. The quarter over quarter and year-over-year increase is primarily attributable to a further impairment in our auction rate securities. As we previously disclosed, the cost of our auction rate securities was $24.9 million which now compares to written down value of $13.8 million of which 77% is covered by insurance. Also on a GAAP basis, income taxes decreased to $498,000 in the September quarter compared to $907,000 last quarter and $503,000 in the September quarter last year. The quarter over quarter decreased was primarily related to incremental tax provisions for our overseas entities in the prior quarter. In the September quarter, Openwave bookings were $47.3 million. Our current backlog is $193 million compared to $197 million last quarter and $226 million in fiscal quarter one of last year. Deferred revenue decreased to $49.8 million as of September 30, 2009 as compared to $50.3 million in the June quarter and $61 million in fiscal quarter one of the prior year. The year-over-year decrease of $11.2 million is primarily due to several transactions of which revenue was recognized in the last four quarters. Our overall DSOs for fiscal quarter one was 66 days. This is 8 days higher than the previous quarter and 35 days lower than the September of last year. We maintained our overall target of 80 days. Now turning to our cash and investment balances, we ended the quarter with $121.6 million in cash, cash equivalents and short and long-term investments. This balance includes less than $1 million of restricted cash. Cash use from operations was $8.8 million which compares to $4.5 million generated in the previous quarter. The decrease in cash from operations was primarily attributable to the timing of payments received from customers. As we mentioned last quarter, we had a payment of $5.5 million from a customer in fiscal quarter four who paid earlier than expected. Current cash flow projections indicate that we will have sufficient funds from ongoing operations. Depreciation and amortization including amortization of intangibles for the quarter totaled $1.9 million of which $1.5 million was depreciation. Earlier today, we announced a further consolidation of our research and development organization as part of our ongoing improvement of operating activities. This will position us to maximize operating efficiencies as we further consolidate headcount and fewer corporate offices. For further information, please refer to our form 8-K we issued earlier today. In summary, we view Q1 as substantial progress towards making Openwave a long-term profitable company. We continue to see encouraging data growth trends and improvements to the company's bookings and fundamentals. We still think the full year of fiscal 2010 will be cash flow neutral to positive from operations. And we will focus on maintaining a non-GAAP net income breakeven level until we see revenue improvement. Since the majority of revenue comes from backlog, our outlook for 2010 remains unchanged despite the improvement in Q1. Therefore we expect 2010 revenue to be a sustained level as 2009. Operator, we would now like up the call for questions.
Operator: Thank you, ma'am. We will now begin the question and answer session. (Operator instructions) And our first question comes from the line of Scott Sutherland with Wedbush Securities. Please go ahead.
Scott Sutherland – Wedbush Securities: Great, thank you. Good afternoon.
Ken Denman: Hi, Scott, good afternoon.
Karen Willem: Hi, Scott.
Scott Sutherland – Wedbush Securities: The new bookings was fine but the mix obviously impacted the bottom line. You know you mentioned in your prepared remarks that you can see in the backlog kind of what kind of mix was coming out the following quarter; can you maybe talk a little bit more about fiscal Q2 and maybe how long you will take to get back to that 60% to 63% gross margin goal?
Ken Denman: Sure, Scott. We do think that we move back in that direction. I think we will revert to the mean, for lack of a better term, relatively quickly. Again, as you know, revenue comes out of the backlog on about a four to five quarter lag. So if you kind of delve back to Q1 of 2009, you might recall we had a pretty lean quarter, $29 million on the bookings side if I recall correctly. So the combination of a really light almost irrespective of the mix and you might infer that the mix wasn't that great that quarter kind of baked out the way it did this past quarter. Having said that, we did think there is no change in the broad model and we have not certainly signaling that. We think that the model is largely still in place and we said that before that we expect to be in the low 60s from a margin perspective and that is where we are.
Scott Sutherland – Wedbush Securities: Okay. Can you talk about, I think you're on the low teens for Integra upgrades and a lot of customers are getting MAG 6.0 upgrades, can you talk about where we are in the upgrade cycle from both an Integra and MAG 6.0 standpoint?
Ken Denman: Well, we are really making good progress on upgrading and I think as we starting to hit some of our larger customers and from my perspective we are seeing a nice acceleration on customers who have historically been MAG or bit of making their through the upgrade cycle and now bridged to Integra. So it is full steam ahead, we are making great progress. We have been reluctant and I still will avoid putting a specific number out there because I don't think that is going to be helpful from a competitive situation but I will tell you that I'm happy with the progress that we're making, more to be done there, but we are down the road. It is not a question of if anymore because most of our customers I believe it is really just a question of when.
Scott Sutherland – Wedbush Securities: Okay. Last question I have for now is can you talk about Asia and EMEA? I mean obviously mobile data is a big opportunity in those market, they are a small amount of your revenue. Your have all the pieces in place and the salespeople in place, are there still a little more work to do to continue making those two regions more material?
Ken Denman: Well, if I look at the Japanese market, we continue to do pretty well there, there is more upside available and coming I think but we have a strong leader in the Japan market and a good team there. We had some turnover in past years unfortunately. The good news is that we recovered through that turnover by putting in place a really strong leader. I like what I'm seeing in the Japan market. We also have a new leader in the Asia market and early signs are good there. We saw some nice wins. I mentioned the Malaysian win, and we continue to do well with Telstra. We have other opportunities in Southwest Asia that we need to avail ourselves of. We do have the things in place we need to be successful in those markets. Maybe a longer term question in those markets is kind of what happens with the two big key markets. China is a tougher market and India is a tougher market for slightly different reasons and both are sort of longer-term plays that we have got to execute in. India will probably come first and likely be a partner. But I would tell you Scott I think we have the things in place in India that we – excuse me in Asia-Pac t we need and Japan. Candidly, I'm more focused and as focused on a nearer-term opportunity which is performing better in Europe. I feel the Europe opportunity as sort of to stimulate growth and off-take customer concentration growth. Europe is a higher priority in terms of addressing those two things.
Scott Sutherland – Wedbush Securities: Okay, great. Thank you.
Karen Willem: Thanks, Scott.
Operator: Thank you. And our next question comes from the line of Tom Roderick with Thomas Weisel Partners. Please go ahead.
Tom Roderick - Thomas Weisel Partners: Hi, guys. Thanks and good afternoon. In looking at the metrics page, it looks like Sprint is a 40% customer this quarter, and AT&T was a 10% customer. So, on one hand, really nice to see your big customers continuing to come back to the well and spend more money with you. On the other, it sort of reminds us that they are very, very important and you need to continue to sell new product for them. So without perhaps getting too specific on either individual customers, can you give us a sense for what your tier 1 customers are purchasing from you and customers like Sprint and AT&T, what things are looking to you to provide them with right now and in the coming year?
Ken Denman: Well again, at the risk of being too specific, I'm going to generalize beyond them and talk about tier 1 if I can just because I really have no way to (inaudible) because again we don't want to speak to specific customers, it is not fair to our customers or to us candidly. But I would tell you this that our tier 1 customers are availing themselves. We're finding good traction with our Integra platform and what you are saying this really the beginning of the adoption of a platform approach which means a packet solution deal where we get the infrastructure in place to then combine that with additional capacity upgrade and license upgrade great from a capacity perspective but also service enabler both net new service enabler additions as well as the license upgrade. So the pace that tend to see is a solution sell that might imply and include a good chunk of implementation services and then subsequent packet sales after that will be more license intensive. That is the pattern that I think we are seeing and you will see across this tier 1 base. The other thing I mentioned in the tier 1 base is we're making good progress with customers beginning to move from MAG to Integra and the net new customers in the tier 1 space are going directly to Integra. We are seeing continued solid performance and I think Scott was one of the earlier ones to talk about, we are still seeing solid performance on the messaging side. I think a lot of people expected messaging for us to begin their way and we're not seeing that. We're seeing customers begin to continuing to look for more capacity both in terms of storage if you will and then other variations on storage. And so our Email Mx upgrades, 8.0 and 8.1 are playing very well in the marketplace. We have another release of our Email Mx solution coming out early next year and we have already got people waiting with bated breath for that release. So the combination of our new mediation platform capability and continued pull through on the messaging side is playing really well in the marketplace in the tier 1 category.
Tom Roderick - Thomas Weisel Partners: Right. And then just to follow up on that, you indicated that services can be a nice leading indicator that can pull license revenues to the table after that, this is a nice service quarter. Should we look at that as a leading indicator and think of the license level bouncing back to levels we have seen in prior years?
Ken Denman: I wouldn't reiterate that. We do think that the low 60% gross margin range is kind of where the business is, and we stand by that. What you just described is sort of a natural conclusion from that model.
Tom Roderick - Thomas Weisel Partners: Just adding to that, if you go back and look at Q3, our license revenues were up in the $16.7 million range. This quarter just happens to be in the $10 million range but it is not indicative of our immediate future.
Tom Roderick - Thomas Weisel Partners: Okay, very good. I will turn it over to others. Thank you very much.
Ken Denman: Thanks a lot.
Operator: (Operator instructions) And our next question comes from the line of Scott Zeller with Needham & Company. Please go ahead.
Scott Zeller – Needham & Company: Hi, thanks. Regarding the announcement you made earlier about the R&D organization, can you tell us how do you look at that on a go forward because I think that have been a few times we have discussed consolidation of locations and headcount, is that something that is going to continue to trend downward as a percentage of revenue or will it stabilize?
Ken Denman: So Scott, I think we are getting a little feedback here, I just want to make sure I heard the question right. Basically around our R&D announcement and your question was, are we getting stability here, do we really continue to see these more work in this at this stage, was that the question?
Scott Zeller – Needham & Company: Correct.
Ken Denman: Okay, got it. So, we are really – we have really gotten to the place that we wanted to get to. If you recall, shortly after I arrived, my first and second quarter, I indicated to you that we had when I got here, we had I want to say eight different offshore development centers under contract. We had in addition to – in addition to Broomfield (inaudible) and Southwest Ireland as well as regular chores. So we were operating in as many as 11 or 12 different locations around the world from an R&D perspective. It is just impossible to be efficient, to be agile, to be good, when you are managing that many different locations. So we have been on a path to get this more right-sized. The cost improvements were obvious but as importantly we needed to be more efficient, we needed to have more control, we needed to manage our quality, and so getting to a more lean structure was what we wanted to do. We have been targeting getting to two own facilities which is Belfast Northern Ireland and Redwood City, and now we are down to those two centers as well as our hard-core couple of facilities that we will have in India, where we have got roughly 320 or so contract workers. So we are where I wanted to move to. I think this is, as we complete this last transition, we are going to have more control over our quality. And one of the things it is going to provide us Scott is the ability to bring our various product suites together. I don't think there is an opportunity to bring messaging together. A lot of the messaging products for instance should be on a common architecture, a common dashboard, things like that. If you are building these things in various locations, it is tough work to do. Actually I think there is going to be more of a relationship over time between mediation and messaging, and analytics and location will overlay both of those two product platform. I now have the teams, the critical mass, and with an organization structure that Mark McHenry [ph] is leading that will allow us to do that. So a long-winded answer to your question, I do think we are largely where we need to be, and in the long run, we hope to have our R&D costs more in the range of sort of 18% to 19% of revenue.
Scott Zeller – Needham & Company: Okay, can you hear me?
Ken Denman: Yes.
Karen Willem: Yes.
Scott Zeller – Needham & Company: I will try to speak more slowly. Regarding the revenue mix, could you give us a broad sense of how it plays out between tier 1 and lower tier operators?
Karen Willem: You know, we don't bring that out for the outside, we look at it internally. The good news is we have seen growth over time in some of the second and third tiers that we have been targeting over the past year or so. And we're also using our channels to address that in particular. And as we built the channel, we can get some of these veteran places that are not economically feasible to have a direct sales force.
Scott Zeller – Needham & Company: Thank you.
Operator: Thank you. And we have a follow-up question from the line of Scott Sutherland with Wedbush Securities. Please go ahead.
Scott Sutherland – Wedbush Securities: Great, thank you. I guess one other earnings call today. So a couple of questions. First of all I know fiscal Q1 is your weak bookings quarter, you talked about your pipeline in fiscal Q2 really stronger. How strongly are you going to come at the positive book to bill this quarter?
Ken Denman: Well, that is our target. That is our goal and we're going to shoot for it (inaudible) commitment as we can make. We're doing the same things we did this quarter which we said we're going to fight to get there. I also said for quarter one that we wanted to do – you know we wanted to punch through the seasonality that we have historically seen, and I think we did a fairly good job of doing it. We got close to, we didn't quite get where we wanted to be, but I still think it is a solid assault all things considered. We need to deliver a book to bill above 1 to 1 in order to assure strong growth in fiscal 2011 and so we're very focused on this Scott. We are driving hard, that is our goal.
Scott Sutherland – Wedbush Securities: Okay. And second small question, I have punched on these numbers in the guidance, to get back to a normalized gross margin structure, and you pull that down to the bottom line assuming OpEx is kind of stable where you want it, you know interest and taxes stay where they are that, you get to kind of one cents or two cents a quarter and you are only committing to a break-even level, so if anything else that might go up or could fluctuate a little bit, compensates in the spring quarter?
Karen Willem: Well, we do have seasonality in expenses. Generally we are trying to hold the line and keeping our range at the mid to high 20s for OpEx. So we're committing to that. We hope to beat it.
Scott Sutherland – Wedbush Securities: So to the extent that all the things happen that we like to have happened in terms of the top line etc., I mean you guys can do the math in terms of where we end up. We have committed very firmly to having strong cost control in this business and we're driving hard for better bookings, and out of that, I think we will call the results. And we are not going to go further than that but I will tell you that we feel good about this business and I think we have done the stuff that we needed to do today to lay the table for a solid business that as I have before for fully year FY10 has a positive EPS, and so that is you know we are still shooting for solid year-over-year performance as regards non GAAP from EPS and operating income, and I will stop there.
Scott Sutherland – Wedbush Securities: Okay, that is it for me. Thanks a lot.
Karen Willem: Thanks, Scott.
Operator: Thank you. And our next question comes from the line of Paul Treiber with RBC Capital Markets. Please go ahead.
Paul Treiber – RBC Capital Markets: Thanks. This is Paul Treiber for Mike Abramsky.
Ken Denman: Hi.
Paul Treiber – RBC Capital Markets: Hi. Just wondering what is the typical customer feedback once they make the move to Integra, and have customers given you any metrics or studies on how Integra helps them improve capacity, and then do these proof of concepts help future deals?
Ken Denman: So, the feedback that we have had from our Integra customers has been positive and I think that is one of the reasons that we are seeing greater up cycles, we have good reference customers. So that is and the metrics are very clear. One of the things that we do nicely in this business, to the extent that customers are on (inaudible) and on more current hardware and more current database software, we scale very well. It is one of our competitive advantages and so we are always happy to provide those reference customers and get that data in front of customers because for us that is business. There are a lot of competitors that are sort of in the lab for early production and they don't have the references or the data that we have. So this is for us about high ground from a competitive standpoint.
Paul Treiber – RBC Capital Markets: And then, typically, do most customers move quickly to your other solutions?
Ken Denman: Well in the – what we are seeing is our net – some of the newer Integra customers are actually taking the services enablers when we make this sale. And so that would be one solid trend that I would talk to. We are happy with the packaging much the way we did with the North American customers that I talked to. And we are seeing many of our customers take the other enablers. I would say that analytics is sort of the baseline, that is when the customers gather – because we sell that one the front end, the visibility, the 360° view of the customer, of the users, and the ability to sort of be aware of the device, and a number of other things that are very helpful in forecasting demand, those things have played very well. So, analytics and increasingly our optimization of compression solutions, we obviously have been doing web optimization for sometime. The newer video compression capability that we have is starting to get traction and we're competing there much more aggressively than we have in the past. I would suggest that that is an area that you should all watch for us going forward. So adding that capability is platform allows us to feel really good about where things are going to go as we head into calendar year 2010.
Paul Treiber – RBC Capital Markets: Looking at maintenance revenue, can you provide any commentary on how customer attrition is tracking, and then should we expect fiscal 2010 maintenance to be flat on a year-over-year basis?
Karen Willem: We have been saying good uptake and good renewal rates. We are not having a problem with renewal rates, so if you kind of look at the trends over the past five quarters, you will see they averaged, it is very close to the average. So, no change there. And we don't see any change going forward. We will continue to have our customers renew on a regular basis and on time.
Paul Treiber – RBC Capital Markets: Okay. And then lastly, do you expect Sprint to remain at about 30%, 40% for fiscal 2010? And then beyond that we expect Sprint to decline as a percent of revenue as you broaden out?
Ken Denman: Well I'm not sure it should (inaudible) talked to the continued good success we have had in doing business with two of our important customers, Sprint and AT&T, and they're very important to us. And we will continue to work hard to be valued supplier to them. We are gratified that they continue to work with us and enjoy our products. That needs to continue and (inaudible) I don't think you addressed the customer concentration issue (inaudible). Moving Europe along and Asia-Pacific along will help on the customer concentration side. I do want to project the fiscal 2010 that is too close to project but I will say this. If we are successful in our – with our products, the way we think they will be adopted in the market, and if Allen Park [ph] and I are – and the team in Europe can kick in the door in some of those large groups, telecommunication systems that are out there, we should begin good to see in 2011, proof of customer concentration issue. But that is going to borne out of success elsewhere and I am hopeful and I am also optimistic that we will be able to do it. The proof is in the pudding.
Paul Treiber – RBC Capital Markets: Okay, thank you.
Operator: Thank you. We have another follow-up question from the line of Tom Roderick with Thomas Weisel Partners. Please go ahead.
Tom Roderick - Thomas Weisel Partners: Great, thanks. Ken, can you just elaborate a little bit on the location-based services business, what is the company's commitment level to this product line at this point, and as you look at some of the changes taking place in the industry, particularly Google getting more involved from the content side, is that a positive or negative for Openwave?
Ken Denman: I'm going to take the first one – I will take your last question first. I see it as a positive because it points to the relevance of location producers. location provides context and context provides relevance and that is the name of the game going forward. That is what will allow all kinds of service providers to provide more capability and improve user experience. And you think about mobility, there is nothing more relevant in the mobile world than the context provided by location, which is why we are very committed to the location, whether you want to call it a line of business, or I would actually talk about the location as a capability. We think location as an example of what I would describe as an oxygen issue going forward. I think we have to embed location across our product set. Location needs to be embedded or inherent in our mediation solution, it needs to be part of our messaging solution over time. And so our success today and our continued commitment to location, I think it is important to have the skill set and the capability to deliver on overlaying location of our total product suite. So we're committed to it, we are focused on it, and in fact we are organizing it so that we can make sure that we bring location across the business, not just look at it as a point solution if you will. That is not – that is something that we are moving away from but we are going to continue to support and grow our capability in the location space. And frankly we have new ideas about how we can actually support some of the players out there in the location space, such as Google and others. Ultimately the operators have very, very valuable information that can't be garnered anywhere else, and if we can help expose that information and those asset to the rest of the world, not only is it going to help the operators, it is going to help frankly Google and a bunch of other folks improve their applications.
Tom Roderick - Thomas Weisel Partners: Okay. One last follow up for me and then I will jump off here, just in thinking about all of the smart phones that are hitting the market, and the success that AT&T has had with the iPhone, there is clearly whole bunch of mobile data traffic being sent around right now, when you look at your current demand environment, how much of the demand this quarter was a function of seasonal capacity demand, meaning existing customers just purchasing capacity of their installed gateways versus how much of it is new solutions, upgrades and new types of products for your customers?
Ken Denman: Are you talking about– you're talking about bookings?
Tom Roderick - Thomas Weisel Partners: Yes. Just generally speaking, but if you look at the bookings this quarter, maybe a sense of how much of those came from installed capacity purchases versus new upgrades kinds of solutions, thanks.
Ken Denman: (inaudible) but I am going to actually generalize this just a bit. Over the – in two of the early quarters of this year, we talked about being a bit frustrated, because we were seeing sort of very chunked smaller purchases, and we also were seeing some projects that were truncated or stopped because of things that were going on in the environment, uncertainty. There were a number of things that were going on that actually caused operators to move more slowly than we thought they should be moving given all the trends that we were looking at. You heard my frustration with that. I think what you see in these results, for instance with the service line, sort of expanding was the ground breaking a bit of those projects. And you also saw, we also saw some early implementation of type one deployments. And so I do think there was a good chunk of pent up demand and it is totally the tension built up and people trying to get moving. And we are seeing that, and we are benefiting from that. And having said that, once you get those that infrastructure laid, once you get initial deployment on platforms sort of frame from a hardware and initial software perspective, I think they will in real-time be sizing demand, and we will see capacity purchases come subsequently, and we hope that is in the back half of this year. So as I look at the way the year is shaping up, I am feeling good about our opportunity. Again we are nervous. We need to deliver the results, we understand that. And we are not getting ahead of ourselves. So but I'm not going to come out and say it is here, it is going to happen, but I am going to tell you that we are optimistic. We're seeing good signs and we have to deliver the results, but at the same time that nervousness is just kind of the nervousness (inaudible) you step on the court, you got the butterflies going. But it is a good start. We like what we're seeing and we're going to go out and try to get it done.
Tom Roderick - Thomas Weisel Partners: Great, thanks Ken.
Operator: Thank you. And our next question comes from the line of Matthew Hoffman with Cowen And Company. Please go ahead.
Matthew Hoffman – Cowen And Company: Thanks. Most of my questions have been asked but let me go ahead and focus on a couple of customer related questions. First, Sprint has done a pretty big outsourcing deal here with the Ericsson, Ken, does that impact your business at all especially with Sprint such a high percentage of your revenue, I think it was 40%?
Ken Denman: We don't believe it will impact our business from this perspective. Sprint still owns the design and engineering of their network and their products and services. They are still making decisions about what their architecture looks like and from that perspective we've been assured and we have been told that there is no impact and we candidly don't expect any. Ericsson hopes to be a major player in the managed services environment. In order for them to be successful, they have got to be very good being sort of a neutral holds party. They have got a very good at managing infrastructure and not impacting third parties. Otherwise, their model will fall in on itself. Operators are not stupid. They really get that – at some level, they don't want to have the fox guarding in house. They don't want the same person who is sort of managing the infrastructure, selling all the components, especially when you need capability of software to give you leverage rather than just sort of buying more hardware. So I think there is a nice natural tension there and we feel very confident that that our customers see the value that we add and they have been very clear with us and also when you think about the broader model that Ericsson is trying to execute on. They have set their managed services operation (inaudible) they have got to be very (inaudible) of that major trust that they have going, or the strategy won't work. So I feel comfortable and I don't see any impact of this.
Matthew Hoffman – Cowen And Company: Okay, along the same lines, well I guess I will follow first on that one. Ericsson, do you have to build some additional bridges with Ericsson, do you need to do more to sell to them too at this point? Or is it completely separate?
Ken Denman: It is completely separate. The architecture, the design and the purchase decisions are being made by Sprint and Sprint networks and engineering and design team, and as well as their – with input from the other customers that they have (inaudible).
Matthew Hoffman – Cowen And Company: All right. Last question also, I guess the domain expert programs or the domain expertise program, how do you fit in with that on the CapEx side with AT&T, and their movement toward – and their movement in this space? Thanks.
Ken Denman: I would expect that we will be a – we will be partnering with one of big name partners at a minimum. I think we will continue to have a relationship with AT&T, I think we will continue to – core components will continue to be in their network and infrastructure. As you know, we are the provider of AT&T's DirecTV solution, which is sort of the backbone of almost all of their applications, doing about 1.8 million transactions a day, just as an example. I mean if you go into places like PPG Life [ph] (inaudible) and to MAG, we are resident in a number of portions of AT&T's network. The question for us going forward is whom do we align ourself with, which one of the ultimate domain partners do we align ourself with as a channel partner, for lack of a better term, going forward? And we're thinking about that, working on that, having discussions with all the right players to make sure that we are positioned to have as frictionless a relationship with AT&T going forward.
Matthew Hoffman – Cowen And Company: All right, thanks guys.
Operator: Thank you. And at this time, I would like to hand it over to Mr. Denman for any closing remarks.
Ken Denman: Okay. Thanks very much operator. First of all, let me apologize for the audio problems that we experienced on the call today. I appreciate that that must be frustrating for you; it is certainly frustrating for us. And with that, I would like to thank you for attending our call today. Thanks to all of you for joining. We appreciate your continued interest and support of Openwave and I look forward to updating you on our Q2 results in early February. Thanks and have a good evening.
Operator: Ladies and gentlemen, this concludes the Q1 FY 2010 earnings conference call. You may access the replay system at any time by dialing 303-590-3030 or 1-800-406-7325 and entering the access code of 4171901. Thank you for your participation. You may now disconnect.